Operator: Good afternoon and thank you for standing by. Welcome to the Deckers Brands’ Fourth Quarter and Fiscal Year 2019 Earnings Conference Call. At this time, all participants are in a listen-only mode. Following the presentation, we will conduct a question-and-answer session. Instructions will be provided at that time for you to queue up for questions. [Operator Instructions] I would like to remind everyone that this conference call is being recorded. I will now turn the call over to Erinn Kohler, Senior Director, Investor Relations and Corporate Planning. Please go ahead.
Erinn Kohler: Thank you everyone for joining us today. On the call is Dave Powers, President and Chief Executive Officer; and Steve Fasching, Chief Financial Officer. Before we begin, I would like to remind everyone of the company’s Safe Harbor policy. Please note that certain statements made on this call are forward-looking statements within the meaning of the federal securities laws, which are subject to considerable risks and uncertainties. These forward-looking statements are intended to qualify for the Safe Harbor from liability established by the Private Securities Litigation Reform Act of 1995. All statements made on this call today, other than statements of historical facts are forward-looking statements and include statements regarding our anticipated financial performance, including, but not limited to, our projected revenue, margins, expenses, earnings per share, cost savings and operating profit improvement, as well as statements regarding our strategies for our products and brands. Forward-looking statements made on this call represent management’s current expectations and are based on information available at the time such statements are made. Forward-looking statements involve numerous known and unknown risks, uncertainties, and other factors that may cause our actual results to differ materially from any results predicted, assumed or implied by the forward-looking statements. The company has explained some of these risks and uncertainties in its SEC filings, including in the Risk Factors section of its annual report on Form 10-K and quarterly report on Form 10-Q. Except as required by law or the listing rules of the New York Stock Exchange, the company expressly disclaims any intent or obligation to update any forward-looking statements. With that, I will now turn it over to Dave.
Dave Powers: Thank you, Erinn, and good afternoon, everyone. It gives me great pleasure to share with you that Deckers has achieved a significant milestone in its history. For the full fiscal year 2019, we reached over $2 billion in annual revenue in a very profitable manner. This accomplishment is a testament to the hard work that our team has put into our company and I am very proud of the results this dedication, discipline and focus have been able to produce. In addition to breaking through the $2 billion mark in topline revenue, the organization has successfully delivered on our long-term margin target a year ahead of schedule. A solid performance recorded in the fiscal year 2019 result. These results include, operating margin well beyond the prior target of 13%, driving more than the committed $100 million of operating profit improvement over the past two years and delivering returns on invested capital above the benchmark 20%. With the strides that the organization has made, especially in terms of earnings performance and cash generation, we believe that we are now positioned better than ever to invest in our brands and channels within key areas of opportunities for future growth. As a reminder, the areas of focus that we have identified include, investments in marketing to build awareness and adoption of the HOKA ONE, ONE brand and growing the UGG Men’s and UGG Women’s non-core category, as well as investment in technology to enhance e-commerce capabilities to evolve how we engage and grow with our consumers, and talent tools and analytic capabilities that will allow us to maximize the above opportunity. Today, I will share brand and channel level highlights from our fourth quarter performance and fiscal year 2019 in review before handing the call over to Steve to walk through our financial results in more detail, including an outlook for the first quarter and full fiscal year 2020. To recap the recent performance, revenue in the fourth quarter was $394 million, coming in above the high end of our guidance and 1.6% less than the same period last year, with the decline to last year mainly due to retail store closures. Despite that, non-GAAP EPS came in at $0.85, as compared to $0.50 last year. For the full year, revenue was at record $2.02 billion, up 6.2%, while operating income increased to $327 million, representing a 16.2% operating margin and earnings per share of $8.84, also a record high. In reviewing our performance over the past two years, our revenue has grown over 6% each year, our non-GAAP operating profit dollars have grown 40.5% on an annualized growth rate and non-GAAP operating margins have increased from 9.2% to 16.2%, representing a 700 basis point expansion, all delivering a two-year annualized non-GAAP earnings per share growth rate of 52%. While these results exceeded our initial outlook, as Steve mentioned on our last call, we experienced an exceptional selling environment this year in the third quarter and drove much better than expected results than what we would normally plan for. Now, turning to performance by group, starting with the Fashion Lifestyle Group, UGG sales declined by 7% in the fourth quarter to $239 million, largely due to retail store closures and international softness, partially offset by strength in domestic wholesale. The fourth quarter result was higher than previous guidance primarily related to earlier shipments of spring product moving out of Q1 fiscal 2020 into Q4 fiscal 2019. For the year, UGG of sales increased 2% to $1.533 billion, with domestic wholesale and e-commerce accounting for most of the gain. During the year, UGG experienced amplified success with younger consumers as evidenced by year-round super growth aided by the newly introduced Fluff Yeah collection, an expansion of the Tasman, continued demand for the Classic Mini and Mini Bailey Bow, and accelerated growth of the new male franchise, which included incremental purchasing from both male and female consumers. The UGG team has been focused on de-seasonalizing the business by growing our spring/summer product offering. Our recent result underscores the progress we have made on this important front. In fiscal year 2019, UGG successfully redistributed its category mix. In conjunction with UGG’s domestic wholesale allocation and segmentation strategy of women’s core classic product, the brand saw increases of over 25% in women’s shoe and sandals categories. Equally important, UGG brand interest in the U.S. is on the rise. According to Google Trends, interest in UGG over the past year grew by 7%. During the fiscal year, UGG acquired nearly 1.5 million new customers and two owned DTC channels, which we believe is the result of delivering compelling products and marketing that resonate with a more diverse consumer base. These trends are representative of why we believe in dedicating investment to target customer acquisition and engagement through digital marketing. Next, Koolaburra in the fourth quarter grew by 67% to $3.6 million, rounding out a fantastic year as annual revenue more than doubled to $44 million, driven by strong full price sales with major account. We have high confidence in our strategy of focusing on the family value channel for this brand and next year looks even stronger based on a robust order book. Koolaburra continues to gain market share that is incremental to all these business and has already shown the ability to drive profit to our bottom line. Switching gears to our Performance Lifestyle Group. For the second consecutive quarter, HOKA set a revenue record with the fourth quarter growing by 33% to $57 million. HOKA achieved impressive growth in fiscal 2019, with sales increasing 45% to $223 million. The HOKA team’s dedication to creative innovative product rooted in authentic performance continues to be the driver of exceptional result. The Bondi, Clifton, Arahi, and Gaviota Styles represent the core of the HOKA brand. These of course styles have continued to deliver significant growth, while the brand also continues to diversify the product offering, capturing new consumers, as well as satisfying incremental needs of existing loyal customers. Since launching in March 2019, the Sky Collection has received initial positive feedback from both wholesale account and consumers as the brand now expand its reach into the hiking category. The Sky collection is yet another example of how the brand is expanding its category reach, while staying firmly focused on a commitment to delivering authentic performance footwear in the marketplace. With the continued expansion of category offering, the seasonality of the HOKA brand is beginning to smooth out throughout the year and the team is strategically planning the timing of product launches. On May 1, 2019, HOKA introduced the Carbon X, establishing its impressive credentials just four days later with a record setting attempt. I would like to congratulate Jim Walmsley on becoming a new world record holder for the 50-mile distance, in doing so, while wearing HOKA’s Carbon X product. Having just launched to consumers worldwide on May 15th, the Carbon X is one of HOKA’s most innovative products released to-date with the carbon-fiber plate to help athletes accelerate and propel forward combined with PROFLY X foam, our lightest and most resilient foam yet. We are looking forward to seeing more record-breaking performances in this shoe. Within the U.S. HOKA’s wholesale business was up 30% on the year and the brand is now a top three brand in multiple specialty running account. We remain focused on growing our domestic wholesale presence through high touch premium specialty retailer. The HOKA team is gaining market share with an existing distribution for strategic category expansion. In addition to wholesale, domestic owned e-commerce continues to add meaningful volume year-over-year as we work to capture incremental replenishment business. On the international front, HOKA sales were up 59% for the year, with the largest share coming from Europe. As we noted in the past, Europe remains the largest near-term opportunity for growth, but at the same time the APAC region is beginning to show adoption. As we work to grow internationally, we are concentrating on building awareness with consumers through athletic performance, aligned with our domestic marketplace strategy. Turning to Teva and Sanuk, I am pleased with the team’s dedication for driving profit to Deckers’ bottomline. Both brands experienced an increase in gross margin and contribution margin for the second consecutive year. For Teva sales were up 3% on the year to $137 million, a record high for revenue. Growth was driven by a considerable increase in Japan, as the brand functional outdoor appeal was complemented by premium fashion collaboration. In addition to record revenue Teva’s operating profit dollar contribution was at highest on record increasing over 30% versus the previous year. On the product side, the brand recently celebrated its Born in the Canyon launch to commemorate the Grand Canyon’s 100th year as a national park and Teva’s 35th anniversary. Turning to Sanuk, sales for the year were down 9% to $83 million. The result was driven by a high single-digit decline in U.S. wholesale. From a product perspective, revenue was negatively affected by the starkness of the Yoga Sling franchise. Over the last year, the brand has been working to diversify its product offerings by introducing Chill products, which represent boots and slipper silhouette. Early reads of Chill product have been strong in attracting new consumers to the brand as 75% of online purchasers had previously not owned Sanuk. Now moving to channel performance, total company wholesale revenue increased 6% for the quarter and 10% for the year. As mentioned in our third quarter call, the U.S. marketplace allocation and segmentation implementation had been very successful. As a result, we will be implementing the strategy across Europe in the coming year, with the hopes of reigniting the market to drive healthy, full priced sales in future years. Shifting to our direct-to-consumer channel, DTC comps decreased 0.5% for the quarter. For the year, the total comp increased 1.9%. Comps for DTC were strong domestically but challenged internationally. We believe it suppressed DTC comps internationally a larger result of macro headwinds mentioned in our third quarter earnings call, but we are also actively engaged in enhancing the health of our brands across all market. Overall for the year, total direct-to-consumer sales were flat. Fiscal 2019 was another solid year for online business, as we added more than 2 million new customers globally across our brand portfolio. We continue to invest in our digital infrastructure to drive and support online engagement and conversion. As I reflect on the past year, I am incredibly proud of the organization’s achievement that went far beyond what we had targeted, both for fiscal 2019’s initial guidance, as well as our long range goal. I am delighted by the team’s successful accomplishment including highlights coming from the growth of non-core categories within its offering complemented by the implementation of our U.S. wholesale allocation and segmentation strategy. Deckers’ rapid momentum across various categories within authentic performance footwear and using innovation and brand ethos was the driving force, and continued supply chain efficiencies and discipline cost management delivering increasing levels of profitability and generating further opportunities to fuel growth as we look to the future. While we feel favorable marketplace conditions and weather patterns aided our performance this past fiscal year, we believe in our strategies and remain confident in our ability to deliver exceptional levels of performance as we move into the next phase of our growth. With that, I will hand the call over to Steve to provide details on the fourth quarter and fiscal 2019 financial results, as well as our initial outlook on the first quarter and full fiscal year 2020.
Steve Fasching: Thanks, Dave, and good afternoon, everyone. As Dave just walked you through, it was a very exciting year for Deckers, as we have achieved a number of significant milestones. Now I will take you through our fourth quarter and fiscal 2019 results in greater detail then provide our initial outlook on the first quarter and fiscal year 2020. Please note, throughout this discussion, where I refer to non-GAAP financial measures, I am referring to results before taking into account restructuring and other charges that our management believes are not core to our ongoing operating result. Also note, our non-GAAP results are not adjusted for constant currency with the exception of our direct-to-consumer comparable sales. A reconciliation between our reported GAAP results and the non-GAAP results can be found in our earnings release that is posted on our website under the Investors tab. Now to our results for the fourth quarter. Revenue was $394 million, down 1.6% from last year but above the high end of our guidance range by $20 million. The better than expected performance was driven by $15 million of earlier than anticipated wholesale shipments in the UGG brand, delivering spring summer product into the marketplace ahead of schedule and $5 million in our performance driven by domestic e-commerce sales for the UGG brand. Gross margin was 51.6%, up 360 basis points over last year. The gain in gross margin was due to continued improvement from our supply chain effort, better full price selling as we exited the prior quarter with very low levels of seasonal inventory in the marketplace and higher margins attained on close out sales as the channel is more tightly managed. These gains were partially offset by channel changes in the quarter largely due to timing of e-commerce revenue recognition with those sales recorded in Q3 and the negative impact of foreign currency exchange rate fluctuation. Non-GAAP SG&A expense was $170 million for the quarter, down from $173 million last year with the reduction primarily being driven by reduced retail store expense as compared to prior year quarter. Non-GAAP EPS came in at $0.85 compared to our guidance range of flat to $0.10 and versus last year of $0.50. The $0.75 peak to the high end of our guidance resulted from approximately $0.25 from better than expected margins, $0.20 due to the early shipment of spring wholesale order, $0.20 from additional expense savings in the quarter, primarily related to retail loss [ph] and unbilled headcount vacancies and $0.10 from higher than expected sales driven by domestic e-commerce in the UGG brand. Now to sum up our fiscal 2019. Revenue was $2.02 billion, representing over a 6% increase for a second year in a row. The HOKA brand contributed to the bulk of the year-over-year increase, up $70 million, with UGG and Koolaburra both contributing an incremental $26 million over the prior year. Gross margin was 51.5%, up 250 basis points over last year. The gain in gross margin was driven by favorable marketplace conditions in the third quarter contributing to our ability to achieve high full-price sell-through of product with minimal discounting and promotional activity, reduced usage of airfreight in the second quarter due to the ability to take advantage of the in-season opportunity to use less expensive freight options for the delivery of certain inventory shipments and the continued benefit of our supply chain initiatives which again positively contributed to our gross margin gains in the year. As I mentioned on our last call, we estimate that approximately 100 basis points to 150 basis points of this upside is due to favorable conditions within the year that we were able to capitalize on and we will not plan for these same conditions to repeat next year. However, if variables outside of our immediate control present opportunity within the year, we believe that we are well poised to capture incremental profit as we diligently manage our operation. I will provide a full picture of gross margin guidance for the next fiscal year in a moment. Non-GAAP SG&A expense for the year was $713 million, up from $695 million last year. As a percentage of revenue, SG&A improved $120 basis points to 35.3% from 36.5% last year. Non-GAAP operating income increased 38% to $327 million from $236 million last year, while operating margin increased 380 basis points to 16.2%. As Dave mentioned earlier in the call, we have successfully added over $100 million of operating profit as compared to levels in fiscal 2017, when we set out to execute on our operating profit improvement plan. I am confident that as we move into the next phase of our strategic goals, we will be able to maintain healthy levels of profitability, while strategically investing in our key initiatives designed to accelerate topline growth. Both GAAP and non-GAAP earnings per share came in at $8.84 compared to our guidance range of $7.85 to $7.95 versus year ago $5.74. The upside to expectation was largely a result of the performance in fourth quarter as I just walked through, in addition to some differences in tax rate and share count when looking at results on a quarterly basis versus the full year basis. Now turning on to our balance sheet. We ended fiscal 2019 with $590 million in cash compared to $430 million last year. Our cash balance is net of share repurchase in the fiscal year, which totaled $161 million. Inventories were down 7% at $279 million, as compared to $300 million last year. We had no short-term debt outstanding under our credit line and on a pro-forma basis our calculated return on a invested capital improved to over 20%. We did not repurchase any stock during the fourth quarter and $350 million of our stock repurchase authorization remains available as of March 31, 2019. Switching gears to our global backlog inclusive of bulk orders, the total as of March 31 was $978 million, which represent a year-over-year increase of about 14%. As a note, last year’s backlog was missing significant orders from several major accounts, due to later order placement last year. If backlog were adjusted to account for the shift in order activity, the year-over-year increase would be more in line with our guided revenue expectation. As a reminder, our backlog at March 31st only includes orders from wholesalers and distributors for delivery in April through December and represents less than half of our total revenue for the year. The figure does not include our company B2C sale, all of the fourth quarter or any future orders that we may book such as at once orders or closed out. Finally, moving to our outlook for fiscal year 2020. As we move forward with our strategic priorities, we intend to fuel topline growth to plan investment in the categories of opportunity that we have previously outlined. As we have delivered cost savings ahead of schedule, we still intend to reinvest a portion of these savings into the business to create a strong set up for our brands now and in the future. We will target to maintain top tier level operating margins as compared to our peer group competitively delivering growth in line with levels of profitability that we have created. For the fiscal year 2020, we expect revenue to be in the range of $2.095 billion to $2.12 billion, which represents year-over-year growth of 4% to 5%. Gross margins to be in the range of 50% to 50.5%. This is 100 basis points to 150 basis points lower than fiscal year 2019, which is aligned with the expectations laid out on our prior earnings call. The headwinds we expect to experience in fiscal year 2020 include, currency headwinds of 40 basis point, additional freight expense of 20 basis points and normalized conditions during our peak season resulting in more promotional environment impacting margins up to approximately 90 basis points. As we reinvest in our growth drivers within our brand portfolio, we expect SG&A to be at or slightly better than 36% of sales, all resulting in an expected operating margin in the range of 14.2% to 14.5%. We are also projecting an effective tax rate of approximately 21%, which represents an increase over fiscal year 2019 due to one-time benefits received in the year. Therefore, we are projecting diluted earnings per share between $8.20 to $8.40. In addition, we expect capital expenditures to be between $35 million and $40 million. Our fiscal 2020 guidance excludes any charges that may be considered one-time in nature and does not include the impact of additional share repurchases. Now with our lower projected operating margin for fiscal year 2020, I think it is important to acknowledge how the range of 14.2% to 14.5% compares to the results delivered in fiscal year 2019 at 16.2%. Within our gross margin guidance, we are planning for a normalized condition including, using air freight and peak season promotional activity, which will unwind approximately 100 basis points to 150 basis point. As foreign currency exchange rates have fluctuated as compared to levels a year ago, we estimate that we will face a headwind this year of approximately 40 basis points, with the remaining difference due to planned investment in marketing and technology designed to improve our connection with consumers. These investments represent roughly 10 basis points to 30 basis points of operating margin and we will control the related levers of variable spend in order to tightly manage our overall profitability. As a reminder, our prior strategic long-term target for fiscal 2020 operating margin was 13% and the current anticipated 14.2% to 14.5% is well beyond this earlier goal. To provide some additional details on our fiscal year 2020 revenue expectation by brand, the following applies. UGG is expected to be up low single digit as growth in domestic, wholesale and e-commerce is being offset by the previously discussed order timing shift out of Q1 fiscal year ‘20 and into quarter four fiscal year ‘19. The allocation and segmentation strategy we have for this year for Europe continued net retail store closures and again FX headwinds as the result of declining exchange rate. Koolaburra is expected to deliver mid-40%s to upper-50%s growth, resulting from continued domestic wholesale expansion in the family value chain, HOKA growing in the mid-20% range fueled by both the U.S. and international expansion, Teva, roughly flat revenue largely due to growth in wholesale domestically and in Asia-Pacific that’s offset by a decline in our EMEA whole channel with the shift from wholesale through distributor. Sanuk flat to last year as the brand continues to drive ASPs in a higher proportion of full-price sales in an effort to better to control the North America marketplace. Our DTC comp is expected to be flat to growing positive low single-digit in light of continuing challenging traffic environment in retail, as well as an assumption of a more normalized weather season. Additionally, we expect in-season wholesale cancellations to be in line with reorders. Now for the first quarter of fiscal 2020, we expect revenue to be in the range of $250 million to $260 million and non-GAAP diluted loss per share of approximately a loss of $1.25 to a loss of $1.15 compared to a loss a year ago of $0.98. The drivers of the year-over-year variance in EPS include the impact of the shift of the $15 million in revenue mentioned earlier moving out of quarter one fiscal year ‘20 and into quarter four of fiscal year ‘19. Adjusting for this shift, earnings per share would be roughly flat to last year, as well as timing of SG&A spent within the year. As a note, we are aware of and continue to monitor tariff decisions and work closely with our supply chain operations to identify risk mitigation strategy. This includes the potential to adjust shipment timing, which could have abnormal effects on the timing of inventory level. As mentioned on previous calls, we have been actively shifting production outside of China in less than 20% of our global total would be subject to tariff. We recently joined over 170 other companies in indorsing a memo urging the President to exclude footwear from the next tranche of Teva. Our teams will continue to track, update and will make decisions bearing in mind the best interests of all of our stakeholders. With that, I will now hand the call back to Dave to provide more details on our strategic outlook and priorities for the upcoming year.
Dave Powers: As Steve mentioned, the upcoming fiscal year is about positioning our brand to drive elevated levels of topline growth in future period, while maintaining top tier levels of profitability. Our strategies are working. We have delivered our long-term targets a year early and the organization will remain focused on investing in our strategic growth driver. This includes, building awareness of the HOKA ONE ONE brand, growing UGG Men’s and UGG Women’s noncore categories, enhancing e-commerce capabilities to evolve how we engage with our consumers, as well as investing in analytics and technology that will allow us to maximize the above opportunity. We will deliver strategic growth in these areas by investing in demand creation and leveraging the right marketing tactic at optimized levels. Deckers is adding new capabilities that will amplify personalization within consumer touch point, allowing our brands to build stronger relationships with both new and existing audiences, resulting in an even greater affinity for our brand. We have also added competencies that will enhance our ability to measure marketing effectiveness, ultimately empowering our teams to easily shift investment to improve both short and long-term return. As we look out into fiscal ‘20, investments in innovation are critical to enable our organization to deliver higher topline growth in the future. I am excited to share more with the progress we are making with innovation later in the year. With our fiscal 2020 guidance including operating margins of 14.2% to 14.5%, Deckers remains at top tier levels of profitability among our peer group, even with the strategic and reinvestment and is dedicated to maintaining this data as we drive healthy revenue growth. As I reflect on our success in fiscal 2019, I am proud of our financial performance and equally proud of the work our teams have done to operate our business in a sustainably minded way. We have made great progress in advancing our sustainable development goals. In particular, we are investing in the communities in which we operate globally, promoting diversity and inclusion across our organization and working to preserve the environment for future generations. With continued organizational success, we have the ability to be leaders in this space by advancing sustainable business practices to deliver value both financial and environmental to all stakeholders. This has been an exceptional year and I’d like to thank all of our employees, customers, shareholders, Board of Directors and their families for their support and helping us drive to these levels of performance well ahead of our original plan. I believe our results demonstrate the strength of the foundation we have built, our commitment to making improvements in the business and delivering value to all of our stakeholders. I am incredibly proud of our accomplishments and look forward to continue success in the years ahead. With that, I will turn the call over to the operator for Q&A. Operator?
Operator: [Operator Instructions] The first question comes from Camilo Lyon with Canaccord Genuity. Please go ahead.
Camilo Lyon: Thank you. Hi, guys. Great job on a great year.
Dave Powers: Thanks, Camilo.
Steve Fasching: Thanks, Camilo.
Camilo Lyon: You guys have done a great job with the UGG allocation strategy at wholesale, as well as the segmentation strategy. At the same time you have been very upfront about the benefits that you received from a long and cold winter. So as you think and delve deeper into the outlook that you have provide -- can you just help us understand perhaps by brand and particularly the UGG brand, how that all fit into this 4% to 5% topline growth figure? In other words, we are thinking about UGG and the further steps you will take with the allocation strategy. If we have a seasonally warmer winter, how protected are you from that potential relative to the guidance laid out?
Dave Powers: Yeah. It’s a good question, Camilo. I will try to answer as many of those details as I can. I think, what we have learned over the last couple of years is planning for what we would be in kind of a normalized winter and retail environment has served us well and we are going to continue on that strategy. That being said, if things are more favorable, we have the inventory in the right places to be able to capture that and then we also have some protection and the downside if we need to be a little bit more promotional. I think what you have seen in the guidance from an UGG perspective and in the margin where we put in roughly 100 basis points or 450 basis points decline versus last year, some of that is mitigating in case there is less unfavorable weather conditions. At the same time, the managed growth in North America will be continuing. It’s a healthy environment. It’s very healthy from an inventory standpoint and margins with healthy sell-throughs at wholesale and then our own DTC channels. At the same time we have work to do internationally and so what you are seeing us do for the U.K. market in particular is employ the same strategy that work in North America over the last couple of years, which is a really tightly controlled segmentation and allocation strategy to make sure that we are maintaining a healthy positioning in the market. The inventories are clean and we are segmenting the right product at the right level in each of the accounts in that market, and at the same time, investing in some additional marketing to improve brand health in that region. So, it’s a balance going into this year. The UGG brand is in great standing in North America with little bit work to do in the European market. But overall, we think this is a healthy projection looking into the end of the year with growth in the right categories, which are non-core women’s footwear and men’s, and we think that if there is a better than planned winter with regards to weather in the holiday season that will be well-positioned to capture that upside.
Camilo Lyon: Yeah.
Dave Powers: Speaking to the other brands real quick, we are super excited about the opportunity that we have developed within the Koolaburra brand. Had an exceptional year last year just over the $40 million mark with high full price sales through and healthy margins and a profitable business for us. Retails we are very pleased and the order book as we saw or just heard for this fall is very healthy for that brand and we see it as an incremental sales to the UGG brand and new in distant channels from our distributor UGG. And obviously the growth, the exceptional result for HOKA. We see that continuing, but that’s in a very strategic and controlled manner built for the long-term health of the brand and really driving growth through the existing distribution both internationally and U.S., and then continuing to drive business and data capture to our e-commerce site.
Steve Fasching: Yeah. I think just to add on to that and kind of what you are alluding to Camilo. Is there upside and I think as Dave said, there is probably a little bit upside related to weather related to UGG, right? Because that’s where we are going to kind of see potential upside. With the segmentation and allocation strategy that we have been implementing in North America, as well as now Europe, that’s going to be somewhat limited in terms of what further upside there may be, because that’s a controlled strategy in terms of how we want to go. So I wouldn’t -- if weather conditions are similar to what we experienced in FY19, absolutely there’s upside from a revenue perspective and from a margin perspective. But as I said in the prepared remarks, we are not going to play into that. So always a little bit upside. But I’d say, as we have gotten more dialed in with our strategy and allocation and segmentation, not a lot, I would say, in terms of related to UGG. Pretty well as indicated by our backlog, we are booked for the season. So there is some kind of further upside. But to bring additional product well above that would be challenging. So, overall, a little bit but don’t go too crazy in terms of what you think that further upside could be.
Camilo Lyon: Okay. Thank you for that detail. It’s great. So it sounds like on the weather related UGG product, you are planning for that business to be both conservative and promotionally driven?
Steve Fasching: Correct. There is a more promotional component factored in and that’s part of the gross margin take-back.
Camilo Lyon: Got it. And then, if you can just step back, you have talked about hitting your margin target a year early, the continued supply chain benefits. You are now stepping up your SG&A component and invest behind some of these opportunities that you have called out. Where do you think your margins can settle out at if you did a 16% this year, but you are looking to do kind of below 14%. What’s the right level of operating margin that can deliver on a more consistent basis?
Steve Fasching: Yeah. It’s a good question. It’s one that we have talked a lot about. And I think, the way we have looked at it, part of delivering our plan a year ahead of schedule. We always had the investment in FY20 and that’s why we were able to bring through some of that additional profit. So as we were able to capture those savings and improvements in our business a year early, that’s why you are seeing that flow through really and the 16% operating margin. As we look going forward, we also recognize that we are delivering top tier performance among our peer group and to be competitive, we know we have to make these investments. So to sustainably drive topline growth, it’s important for us to put those investment dollars in, as Dave talked about, in marketing, in IT, in innovation to drive some of the product development that’s going to help us propel topline growth. So, as we look at it, what we are guiding and some of the factors, that 14.2% to 14.5% is a good number we believe for FY20. There might be a little bit of upside and that’s kind of how we are looking at the business. So part of this and over delivery is all related to the strategy and the timing of when we were going to make those investments. And so being able to capture that early in FY19 is what really drove us above what we would normally expect. Now as we get into kind of the strategy of investments, that’s why you are seeing that setback.
Dave Powers: Yeah. And I’d just add on to what Steve said. I do believe now is the right time to start investing. As you know, the last two years, three years, we have been working on infrastructure and efficiencies and operationalizing the business, improving SG&A as a percentage of total sales. In the meantime, we have been strengthening the brands and controlling our marketplace. And we believe based off the strength of new categories in UGG, the emergence of the men’s business and the strength of HOKA and the success we are seeing in digital marketing. Now, it’s the time to really start investing and so we want to make sure that we are feeling future growth for the out years. Now we continue this top tier performance both from an operating perspective, but also start returning to higher levels of growth and revenue.
Camilo Lyon: Great. And if I could just sneak in the last one. So Dave last quarter, you alluded to given you are a point of committing build longer term mid single-digit growth algorithm on the topline, four to five this year. Are you ready to say that that’s where you actually put a kind of longer term one-year to three-year topline objective out there?
Dave Powers: Yeah. I think we delivered 6% the last two years in a row, which is better than we guided to and expected to do or plan to do, 45% this year as you heard, as we just walk you through make sense. I think mid single-digit to low -- high single-digit growth over the next three years is what we are aiming for and that’s why you are seeing the investment in the business this year.
Steve Fasching: Yeah. I think one thing to note to Camilo is, as we look at the business, and I think, it’s important to call out that $15 million that we talked about where we shipped in Q4 versus Q1, really is up FY20 business. And so, if you were to equalize the two years, we would be showing more growth in FY20. So you would be removing that from the FY19 number and putting that $15 million in FY20. And what you would see is a shift and you would see growth in ‘20 over the growth that we showed in ‘19. So it gets a little skewed because of that early shipment. But what we are showing is growth year-on-year-on-year
Camilo Lyon: Fantastic. Good job, guys. Good luck.
Dave Powers: Okay. Thanks.
Steve Fasching: Thank you.
Operator: The next question comes from Jonathan Komp with Baird. Please go ahead.
Jonathan Komp: Yeah. Hi. Thank you. Maybe just to follow-up with some of the discussions there, but maybe just a bigger picture question on the gross margin, I know you had a very strong year in the low 50s. Historically, when you look, your good year was closer to 50% and then a normal or even unfavorable year was more in the mid-40%s. So could you maybe just step back and kind of highlight a couple of the factors that you think are sustainable in terms of why 50% plus and maybe building that at the right level going forward?
Steve Fasching: Yeah. So I think when you look at the 51.5% that we delivered and FY19 and as we talked about, our ability to get to that level was really driven by a lot of the improvements that we have made in planning, supply chain efficiencies, the work that we have really been talking about really for the last two years. The additional components, the kind of the lift from what we are guiding FY22 -- to FY19, we will call kind of a better selling environment, cleaner channel inventory and the non-use of freight in FY19. So that kind of 100 basis points and 150 basis points setback we are seeing in FY20, are really those components that we do not expect to repeat themselves. They could, and if they do, we benefit from them, but from a more normalized, what we would say kind of operating mode. We think that 50%, 50.5% range is kind of the right range, which incorporates all the improvements that we have made and using some freight as we identify our products and try to bring them into market earlier. So we think there may be a slightly larger freight component and that’s part of also the set back. I think what’s also embedded and not clearly apparent in the guide is that, we have a currency fluctuation, which is a headwind in FY20 and we are largely overcoming that with kind of some continued improvement plans that we have for FY20. So we think that $50 million to $50.5 million in a normal operating year is kind of the right level based on all the work that we are doing in the last couple of years.
Dave Powers: Yeah. And I would also add onto that because you referenced prior years of low end $45 million and best-in-class kind of $50 million range. Also keep in mind that we have been working hard to balance and diversify the business. So if you think about the UGG business today, it’s much more balanced business with growth in new categories. In men’s we are less reliant on just one item and one category of classics. Although, that’s still important and we still have the improvements that you have seen over the last couple of years. But in the business mix which is becoming more important is HOKA, which has healthy margins. And over the coming years the growth in e-commerce is going to be a benefit to margin as well. So I think all those things considered as Steve just mentioned and the way we balance the business, the team has done a great job there, I think this is the right level.
Jonathan Komp: Okay. Great. That’s certainly helpful. Maybe one separate question then, a little bit more just put in perspective on the environment, certainly looks like seasonal fall, winter good, sold there well this year so far, channel inventories are clean, which you mentioned and that’s supporting the orders for next year. I want to ask, I mean, certainly, there’s other pockets of softness that others are reporting such in some of the department store chains. And I am just wondering is there any point where you see risk that softness in other parts of the business getting later end of the year with potentially risked some of the momentum you are seeing in your own categories or just any broader perspective on that dynamic?
Dave Powers: Yeah. I have seen some of the recent reports of kind of wholesale department store challenges. I think, our performance in those channels over the last two quarters has been very strong. The inventories are clean. The sell-throughs have been very healthy. The order book going into the back half of the year is good as well. And I think we are well-positioned to be successful in those channels, but despite some macro challenges they may have. We are certainly not immune to those, but I think the strength of our brands particularly our UGG brand in the back half of the year bodes well for the success of that business. There’s obviously an athletic trend going on out there and we are starting to gain some momentum in sneakers and carriers of that sort. But the innovation of the UGG brand through slippers and hybrid slippers and winter boots has been very strong as well. So, while that athletic trend is going on, we are having success in our own way and different you need categories and capitalizing on that. I think we still have challenges in Europe. I think that’s one thing we are working through and hence, the conservative nature of the guide from a European perspective and cleaning up that marketplace. If I was to say, there’s a risk somewhere that we see in the business for the back half of the earth is the potential there to continue to be soft, particularly with some of the macro level environmental things that are going on in that region. Does that make sense?
Steve Fasching: Yeah. I think just one other thing Jon, and I think, Dave, what he just said was kind of spot on. I think there one there’s always risk, right? You are never quite certain to what may happen with retail or other factors that may influence it. But I think one thing and it’s really demonstrated by our results coming out of this year is how well our brands have performed with retailers.
Dave Powers: Yeah.
Steve Fasching: And I think that speaks to the strength of our brands in what we are doing. I think with our strong backlog, it’s showing a commitment on the part of our sale partners and their commitment to our brands that we are resonating with consumers and our products are selling through well and that’s further demonstrated really by the clean inventory.
Jonathan Komp: It’s all very encouraging to hear. Best of luck.
Dave Powers: Okay. Thanks, Jon.
Steve Fasching: Thanks.
Jonathan Komp: Thanks, gentlemen.
Operator: The next question comes from Sam Poser with Susquehanna. Please go ahead.
Sam Poser: Thank you for taking my question. I have a few. First of all, your Teva business, you are getting a lot of press there. So can you give us some idea given the switch of Teva over to the -- to a distributor model, what sort of -- what the wholesale equivalent sales would look like both in the fourth quarter results and in the full year guidance?
Steve Fasching: Yeah. In terms of switching, we have -- we didn’t give that number out, it’s probably about I would say kind of $5-ish million.
Dave Powers: $5 million.
Steve Fasching: Yeah. it’s -- so it’s important I would say to the brand and they are overcoming that with what we are providing in our guidance. And so that’s why kind of again on the surface what might not look like significant growth. The brand is still growing because they are overcoming really that switch.
Dave Powers: Just in Europe?
Steve Fasching: Yeah.
Dave Powers: And you will see positive improvements from a unit perspective as a result of that, but obviously, the revenue hit is being overcome.
Sam Poser: Thank you. And then, secondly, two things to focus, number one, could you talk about other collaborations that you are working on all success are not or -- what you had recently? And then also, as a the business grows, I mean, sort of what are the step ups as far as getting more scale to even potentially take more this time?
Dave Powers: Yeah. I think some of the collaborations that you have seen, Engineered Garments and a few others, those have been successful at creating energy and excitement for the brand with a broader consumer base. And I think it’s important to keep in mind that, brands are seeking out HOKA, because they want to work with HOKA, because of its performance, provisioning and the authenticity in the running space. They will continue to do that in a very strategic and selective way. We are not looking to use collaborations as a huge revenue driver. I think that the brand is not in that situation right now. We still want to stay remain true to this core running, community and performance based authenticity of the brand. So we will use those and we will continue to do those at the high end of the distribution chain and using key partners to bring some of that product from a Lifestyle perspective to the marketplace, but the real focus remains on the Performance categories and continue expand that. Right now with your question on growth, we are seeing tremendous success with the current distribution strategy. We think that’s right and continuing that for the short-term at least through the next couple of years and really driving improvements in their e-commerce where we can continue to cultivate the life time value of that consumer. So we know there’s bigger opportunities out there in the big box and broader distribution. We are keeping an eye on that. But we think the right thing right now is to grow this brand strategically in a healthy way with high margins and high sell-through and create some demand and desire for the consumer versus blowing us out to a broader distribution at this time.
Sam Poser: So that wasn’t my question. My question really was from a production capacity. You had a big growth, 40%, I think, at 25%-ish growth next year. And it sounds like -- so what point do you hit a scale of production of number of shoes in the market where you are -- where you can do even better on price. I was more talking about from a sourcing perspective like that. I mean, do you have step up as far as number of players in the market that you would then get better pricing on as the brand grows?
Dave Powers: Yeah. We have been working with the same partners over the last few years, strategically with a couple partners that can handle the complexity of the product and the improving innovation of the product over time and that relationship has been great and they have the ability to scale up as our business grows. They are seeing the potential of the HOKA brand. They are excited about it. They are willing to invest in additional sourcing of production facilities to do that and that’s one of the benefits of a strong platform at Deckers that we have great partners who see our potential and are willing to invest and grow with us over time. So that hasn’t surfaced as a concern from our supply chain teams and the brand, and I think, we are well-positioned to sustain this level of growth from a sourcing perspective.
Sam Poser: And then last two. Europe and Asia, how long will they take to sort of get on the platform, the brand platform that the U.S. is on, you talked about working on the UK? And then, secondly…
Dave Powers: Yeah.
Sam Poser: …how much demand within your guidance, like, I mean, how much demand do you think you left on the table last year and sort of how much within your guidance you perceive you are leaving -- you will leave on the table with UGG, I guess, in the U.S. more than outside U.S. this year?
Dave Powers: Yeah. I think, this year we just came off a healthy set of meetings last week with the international teams and talking about the game plans for international business. Europe and China are very different markets. One is the mono-brand market and one is obviously a complex wholesale market. So they require different strategies. But both of those will receive attention this year. I think that you will see -- start to see a turnaround in the business coming out of this year and going into FY21 returning back to growth in healthy way?
Sam Poser: Thank you very much and continued success.
Dave Powers: Thanks, Sam.
Steve Fasching: Thanks, Sam.
Operator: The next question comes from Rafe Jadrosich with Bank of America Merrill Lynch. Please go ahead.
Rafe Jadrosich: Hi. Good afternoon. Thanks for taking my question.
Dave Powers: Sure.
Rafe Jadrosich: I just wanted to follow-up a little bit on Europe, can you talk about what are the changes you are making in the segmentation strategy will be similar to the U.S.? You have a lot of distribution that you need to close and then what would be the revenue impact for this year?
Dave Powers: Yeah. It’s very much similar to what we did in the U.S. and we have been cultivating a little bit of some of the new distribution in the U.K. particularly following what we did with accounts like Foot Locker and Foot Action and in Urban Outfitters in North America. So we started some of that last year. I think the best way to think about it is, it requires a pull back of inventory in the marketplace that requires a repositioning of the classic -- core classic business in that marketplace through marketing PR in advance to highlight in a new way for that consumer and then segment product by accounts similar to what we did in North America. So we have an existing distribution network there that works very well for us, making sure that they are differentiated from some of the new accounts we are bringing on that are focused on a younger more sports style consumer and then augmenting that with the appropriate marketing in both those channels. In all honesty, we pull back on marketing a little bit last year in order to make sure that we are driving profitability in the right areas. Part of the reinvestment in marketing this year is focused on the U.K. marketplace in particular to bring back heat and energy to that business and then to take control distribution with the segment and offering is the formula that we are employing and has worked well in North America.
Rafe Jadrosich: Thank you. And then in terms of HOKA, can you talk about the international opportunity and maybe what’s the mix of domestic versus international today and how do you see that changing?
Dave Powers: Yeah. I think as you saw, we grew 59% international last year in HOKA. It continues to be incredible upside in that market. There’s strength and momentum in the European market. We have healthy distribution there. The brand is in a premium positioning and selling through well and as we expand into new categories you are going to see continued growth in Europe. China is early, early days. We don’t have awareness there yet. We don’t have a direct business. We really established to go after that market in a healthy way yet. So that’s down the road. But we are seeing real strong success year-to-date or so far in Japan where the brand is very positioned very well and as you know seen as a really desirable performance running brand in that marketplace. So, I think, the mix, I will let Steve to speak the exact mix or what that business looks like today. But we do see international being a significant driver of growth going forward, inclusive of e-commerce in those markets as well.
Steve Fasching: Yeah. I mean, roughly on the mix, it’s about two-thirds kind of domestic, one-third international at this point, with both areas still growing…
Dave Powers: Still growing.
Steve Fasching: …internationally.
Dave Powers: Yeah.
Rafe Jadrosich: Okay. Thank you. And just the last question for me, you have been pretty aggressive buying your own stock the last couple of years. What’s sort of the strategy for share repurchase going forward and I know it’s not baked into your guidance or anything, but how should we think about it.
Steve Fasching: Yeah. So we don’t include any share repurchase in our agreement. As you know, we have recently expanded it in January to $350 million. We still view share repurchase as a great way to drive value back to our shareholders. We have been more aggressive as of late, really over the last two years. We think the $350 million gives us further opportunity. We don’t comment specifically on when to repurchase, but again see it as a great way.
Rafe Jadrosich: Okay. Great. Thank you.
Dave Powers: Yeah.
Operator: The next question comes from Tom Nikic with Wells Fargo. Please go ahead.
Tom Nikic: Hey, everybody. Thanks for taking my question. I just want to ask about the DTC channel. I know you are guiding to flat to slightly positive comps, but how should we think about store closures and any quantification around loss revenue related to the store closures would be tremendously helpful? Thanks.
Dave Powers: Yeah. That is embedded in the guidance a little bit of loss revenue as a result of store closures. There will be net-net more closures than openings in FY20 and we are having great e-commerce strength which is offset by a softness in retail stores. So you are seeing that in the guidance for DTC. We are continuing to optimize the retail fleet, getting to the right level of stores that we think is best for the brand and the business overall to cover that that touch point for the consumer. Retail will remain an important part of our strategy going forward, particularly as word showcasing additional categories in a global scale. So we are still in the optimization mode of the retail fleet. But I think we are making great progress, I know we are making great progress. What we need to focus now on going forward is improving the experience in the store, driving traffic and leveraging that to help drive the e-commerce business over time.
Tom Nikic: Got it. And then, just one quick follow-up on the investments this year, which should drive, I guess, SG&A growth is a little bit higher than what we have seen in the last few years. Could you just remind us of what some of the big areas of investment are, I would imagine some of it is demand creation for HOKA and just various other initiatives? But just sort of a high level overview of what the investments are going towards would be great? Thanks.
Dave Powers: Yeah. Happy to do that. So the biggest investment this year is around marketing. It’s a combination of really three things. One, is UGG to drive interest in growth in emerging categories, as well as I mentioned earlier, a little bit in the U.K. to reboot that market. HOKA is another beneficiary of invested dollars in marketing this year. We are seeing great return on ad spend in the HOKA brand, as well as creating awareness and buzz at a high level at the top of the funnel. We are going to continue to invest in that business, because we believe there’s potential -- tremendous potential upside for the brand and it’s all about getting shoes on feet, because we have learned that once you get a shoe the HOKA brand on someone they become consumers for a long time and then we can really build on that. So it’s a global approach for both of those brands are really driving awareness of new categories in HOKA for a long-term growth. In addition to that we are really focused on enhancing our digital marketing capabilities. We are adding some new capabilities this year around personalization for our consumers and our websites and social media. And then just better data and analytics capabilities from an IT perspective to be able to use some of those real time insights so we can make quicker more nimble decisions on marketing and product to market. So it’s a combination of those three areas from marketing and IT perspective, and then also investing on innovation across all of our brands. I think you saw the success of one of our most innovative products recently with just the Carbon X, a great example of how the innovation is working within the brands and feeling excitement and upside potential for all of our brands. We are continuing to invest in that area of the business as well.
Tom Nikic: All right. Sounds good. Best of luck this year.
Dave Powers: All right. Thank you.
Steve Fasching: Yeah.
Operator: This concludes our question-and-answer session and the conference has now concluded. Thank you for attending today’s presentation. You may now disconnect.